Operator: Greetings. Welcome to the Hawaiian Holdings, Inc. 2021 Fourth Quarter and Full Year Financial Results Call. [Operator Instructions] Please note this conference is being recorded. I will now turn the conference over to your host, Ashlee Kishimoto, Managing Director, Investor Relations. Thank you. You may begin.
Ashlee Kishimoto: Thank you, Alex. Hello everyone and welcome to Hawaiian Holdings fourth quarter and full year 2021 financial results conference call. Here with me in Honolulu are Peter Ingram, President and Chief Executive Officer; Brent Overbeek, Senior Vice President of Revenue Management and Network Planning; and Shannon Okinaka, Chief Financial Officer. We also have several other members of our management team in attendance for the Q&A. Peter will provide an overview of our performance and an update on our priorities for 2022, Brent will discuss revenue and Shannon will discuss costs and the balance sheet. At the end of the prepared remarks, we will open the call up for questions.  By now, everyone should have access to the press release that went out at about 4 o’clock this afternoon Eastern Time. If you have not received the release, it is available on the Investor Relations page of our website, hawaiianairlines.com. During our call today, we will refer at times to adjusted or non-GAAP numbers and metrics. A detailed reconciliation of GAAP to non-GAAP numbers and metrics can be found at the end of today’s press release posted on the Investor Relations page of our website. As a reminder, the following prepared remarks contain forward-looking statements, including statements about our future plans and potential future financial and operating performance. Management may also make additional forward-looking statements in response to your questions. These statements are subject to risks and uncertainties and do not guarantee future performance, and therefore, undue reliance should not be placed upon them. We refer you to Hawaiian Holdings’ recent filings with the SEC for a more detailed discussion of the factors that could cause actual results to differ materially from those projected in any forward-looking statement. These include the most recent annual report filed on Form 10-K as well as subsequent reports filed on forms 10-Q and 8-K. I will now turn the call over to Peter.
Peter Ingram: Mahalo, Ashley. Hello everyone, and thank you for joining us today. Since we last spoke in December, we ended the quarter largely as expected with strong demand and positive signs of recovery, particularly on the domestic side of our business. We, like other businesses, faced operational disruption related to the rapid spread of Omicron at the tail end of 2021 and the beginning of 2022. The outstanding efforts of our team mitigated the worst impact of these challenges, but not without some level of disruption to our guests. We’ve made some modest near-term adjustments to restore operational integrity and I believe we are now on better footing for the months ahead. Despite solid results from our domestic business in the second half of the year, the recovery of our international business continues to lag. We remain confident that we’ll see a substantial recovery in international demand as we pass this latest wave of COVID cases. As we’ve said before, conditions are aligning to enable a full restoration of our business at scale supported by the availability of vaccinations and therapeutics that were not part of the toolbox early in the pandemic. For international, what continues to limit us are governmental policies regarding travel across borders. The response to the rapidly transmissible Omicron variant has likely delayed relief in this regard by a couple of months. We aren’t in control of that, but what we can control is our preparation and readiness. We are preparing for an increase in international during the second quarter of the year and a more comprehensive operation in the summer and beyond. As conditions allow us to realize the underlying demand, we know that our exceptional service, solid operational performance, unique brand, and a focus on leisure travel, positions us extremely well for sustained success. Excuse me. Our team continues to work relentlessly to help our business recover in an ever-changing environment and to help strengthen our company for the long-term. The outstanding contributions of our employees have remained the one constant throughout the pandemic. Mahalo to each of my teammates for their tremendous efforts in 2021 as we made substantial strides towards recovery. Before I talk more about 2022, I’d like to talk a bit more about the disruptions in our operations over the past month and what we have done to address them. Like other airlines we experienced scheduled disruptions beginning in the waning days of 2021 as the spread of Omicron led to increased absences. Also, unique to us these absences were compounded by some unscheduled downtime with our training equipment, which affected the availability of crew members for our 717 fleet at the end of last year and the begin beginning of this one. These factors led to the cancellation of several neighbor island flights and a handful of North America flights in the last several days of 2021 and the early part of January, 2022. To provide more flexibility to our operating teams we have subsequently made some short-term adjustments to our schedule to manage through this period and help us restore operational performance to the levels our guests are accustomed to. Since these changes have been in place, we have seen the operations stabilize. I feel confident that we put the worst of this disruption behind us. Our sick calls are declining and our training equipment is back online. Since we last spoke in December, our initiatives for 2022 have not changed, and I’d like to provide you with some updates. Back in December, we didn’t have a clear line of sight into the impact of Omicron would have and how governmental policies would react. In line with much of the country, Hawaii saw record high COVID case counts in January from the highly contagious variant. Despite the increases in new cases, hospitalization rates have been manageable. Aided by our state’s high vaccination rate, Hawaii remained and continues to remain open for tourism with limited changes in the state safety protocols. This contrasts with our experience with the Delta variant, when hospitalization spiked and the policy response was more restrictive. Consistent with our expectation that cross-border travel liberalization will be delayed a couple of months because of Omicron, we have pushed the ramp up of our Japan operations from the end of March to the second quarter. The international travel policy changes we have seen since the identification of the Omicron variant continue to remind us that the road ahead may not be smooth. But the underlying desire for travel for leisure remains profound, and we will be ready to take advantage of pent-up demand as it materializes. I’m pleased that we have reached tentative agreements with the IAM, which represents our airport, cargo and maintenance employees. These agreements, which are subject to ratification in mid-February, provide us with pay rate – provide for pay rate increases and enhance benefits. Our employees deserve to be rewarded competitively. And I’m proud that this contract, when ratified, will provide that. I’m also pleased that in an increasingly competitive labor market, the updated pay rates will help us to compete for new hires and to retain our existing employees. The provisions in these agreements, coupled with our commitment to continue investing in technology and process enhancements, will yield long-term benefits in terms of higher productivity and shared benefit costs beyond 2022. Along with the agreement we reached in 2020 with the AFA, representing our flight attendants, we will soon have completed labor contracts representing 70% of our workforce since the beginning of the pandemic. This is unique in our industry and reflects our commitment to manage the business for the long-term, and to collaborate with the unions representing our employees. We’re also advancing our commitment to invest in technology to meet our productivity goals and deliver the best experience for our guests. We remain on track for the cost and revenue benefits expected in 2022, as the use of these technology tools continues to mature. Our new passenger service system is expected to launch in the spring of 2023, which will be a catalyst for the simplification and streamlining of our commercial and guest service processes. These investments will enable a stream of benefits that will continue to develop over the coming years. With Omicron shifting the outlook for other travel markets, we have not seen a significant change in the competitive capacity environment since we last spoke in December. Much of the domestic capacity that shifted to Hawaii remains, as the recovery of business and international travel remains slow. As recovery continues, we expect that the competitive environment will evolve, and marginal capacity added domestically will be reevaluated. Internationally, some of the capacity that was marginal pre-pandemic may not return. We are committed to ensuring that we are positioned to capitalize on opportunities as the competitive environment involves. As we mentioned back in December, our two 787s that were scheduled to be delivered in 2022 are delayed, and we now expect to receive them no earlier than the first half of 2023. The capacity from these aircraft has been removed from our full year capacity expectation and some of the expected costs related to readiness activities have now shifted into 2023 with the delay. I remain optimistic about the trajectory of our recovery despite the uncertainty that continues to surround our industry. Yes, the path isn’t linear and some of the progress on the international side is a little bit to the right, but we continue to make progress on our plan for 2022. The trajectory of leisure travel has been interrupted by the pandemic, but the underlying desire for it has not. Domestically, Omicron has had less of an impact on our business than previous COVID waves and the signs of recovery are already evident. International travel will recover with policy changes even if we cannot precisely forecast the timing and pace. We will be ready to take advantage of the continuing recovery and are well positioned for success. With that, let me turn the call over to Brent to discuss our 2021 results and the commercial outlook in more detail.
Brent Overbeek: Thank you, Peter, and aloha, everyone. I’d like to take a brief moment to thank all of our teammates for their efforts and dedication and taking care of each other, and our guests as we closed out 2021. Our fourth quarter revenue performance was in line with what we expected in December when we reguided the stronger demand throughout our network, with total revenue down 30.1% from 2019, as we operated 81% of our capacity compared to the same period. Passenger revenue was down 34.8% from 2019, as we operated 109% of our domestic capacity and just 17% of our international capacity compared to 2019. We had a busy holiday period and didn’t see much of an impact from closing cancellations related to Omicron, but as expected, our yields were lower from elevated competitive capacity in our North American markets. Nonpassenger revenue continues to be a bright spot, up 20.7% this quarter from 2019, driven by strong performance in cargo and revenue from our Hawaiian Miles co-branded Mastercard, with a record quarter of retail sales and strong new account acquisitions. Despite a challenging operating environment in 2021, leisure travel to Hawaii was resilient as evidenced by strong domestic travel volumes to Hawaii. Looking ahead to the first quarter, we continue to recover our business, and we anticipate that our overall revenue will be down 31% to 35% from 2019, a slight deceleration from our results in the fourth quarter, with the Omicron variant headwind impacting our traffic and schedule. We anticipate this headwind will be short term, as we are starting to see our bookings and cancellations stabilize. Our international network continues to lag domestic as governmental policies continue to limit us, and most of our network here remains suspended. Let me take you through each segment of our business. In North America, we’re seeing the impact of Omicron variant with lower net bookings for the first quarter. We continue to closely monitor bookings. And from what we see today, the worst of the impact will be in the first quarter, as we are seeing upward momentum for bookings in the months ahead. We expect to fly about 120% of our 2019 schedule this quarter, which is higher than we anticipate for the rest of the year, due to how the network developed in 2019. We remain very well positioned and based on the latest data from the DOT, we have further expanded our revenue premium since we last spoke in December, and they’re materially outperforming in our North American markets. This demonstrates the strength of our North America network, our focus on the Hawaii leisure traveler and our optimally configured aircraft. In the Neighbor Islands, we were planning to operate 80% to 85% of our 2019 Neighbor Islands capacity. As we work through the temporary schedule changes that Peter mentioned, we’re now expecting to fly about 75% of our 2019 schedule in the first quarter. The booking curve for the Neighbor Islands is close in. And with Omicron surge, we’re seeing some customers choose to stay at home, resulting in lower bookings. But we are starting to see signs of improvement and remain well positioned and continue to maintain the share of local traffic well in excess of our seat share and a significant load factor premium versus our competitors. With the evolving news of Omicron, we can’t speak with certainty on the pace of recovery in key international markets, particularly Japan. Let me spend a few moments discussing the published schedules versus our expectations for the planned resumption of service to Japan. Based on what we know today, we expect to ramp up our service to Japan in the second quarter, a bit later than we had originally planned, but that’s not yet reflected in our currently published schedule. We are working through respective governmental processes for the upcoming summer season around slots and route authorities. And we’ll update our published schedules accordingly as that gets resolved. There could be a further delay to our restoration of our international network as we remain uncertain about when Japan will fully reopen. While we can’t control the precise date when Japan will fully open; however, we will be ready to relaunch our international network as soon as policy conditions allow. We are now expecting to fly about 25% of our 2019 international schedule in the first quarter, which is slightly higher than the fourth quarter, reflecting a full quarter of flights to Sydney that resumed in mid-December. We remain well positioned with the brand and quality of guest experience to capitalize on demand for a Hawaii vacation when it materializes. Moving to our capacity outlook. With Omicron shifting our recovery back a bit, we anticipate that our overall capacity for the first quarter will be down 10% to 13% from 2019. On a sequential basis, capacity from the fourth quarter of 2021 to the first quarter of 2022 is essentially flat. For the full year, we now expect capacity to be down 3% to up 1% from 2019, driven primarily by the pushback of the resumption of service to Japan in the second quarter, the schedule changes in the first quarter, and the delay of the 787s to 2023. For 2022, we remain on track to launch a new revenue management system, a new distribution strategy, new travel products and enhancements to existing travel products. We continue to expect these commercial initiatives to drive incremental benefits of approximately $10 million this year, as they ramp towards their steady-state values. We’re encouraged that we’re on the road to recovery despite some temporary setbacks. Domestically, we see upward trajectory of our bookings as Omicron has had less of an impact on our business than prior variants. Internationally we are well positioned and we’ll be ready for recovery once international travel policy allows. We have a great product, strong brand, exceptional team and a winning formula for success. With that, I’ll turn the call over to Shannon.
Shannon Okinaka: Thanks, Brent, and thanks everyone for joining us today. For the fourth quarter, we recorded an adjusted net loss of $70.3 million or $1.37 per share. While our full year adjusted net loss of $383 million or $77.55 per share reflects the challenges of rebuilding our business, while navigating the volatility of the ongoing pandemic. There have been bright spots in the recovery, specifically the continued robust domestic demand for travel to Hawaii. In fact, we ended the quarter with a profit for the seasonally busy month of December, where we saw strong domestic demand for the holidays, even without the full resumption of international service. We closed 2021 with $1.7 billion in cash and short-term investments and $2 billion in liquidity, including our undrawn revolver. Our adjusted net debt as of December 31 was $961 million, about $18 million lower than pre-pandemic levels at the end of 2019. In the fourth quarter, we opportunistically repaid $161 million of debt for the partial pay-down of our highest interest bearing EETC notes providing important interest expense savings going forward. And for the full year we prepaid $441 million of future debt obligations, and we made $171 million of scheduled debt and lease payment. And last week we completed the final scheduled principle payment of $51 million for our 2013 EETC tranche B debt. As we work our way back to sustained cash generation, we will ensure we have enough cash to navigate the remainder of the crisis and will continue to invest in strengthening our business. While our current debt profile doesn’t provide significant near-term economic opportunities to delever we’ll be prudent about how we fund our 787s and other capital investments. And we’ll look for more opportunities to use our excess cash to produce positive future returns. Our fourth quarter non-fuel expenses excluding special items came in a little better than we expected due to favorability across a variety of cost categories with some of those costs pushing into the first quarter. In December, we spoke about our expectations for our 2022 unit costs. The reduction of ASMs from the delay and the ramp-up of our international business and the change in our assumption about the timing of our 787 deliveries results in an expectation that our full-year unit costs, excluding fuel will now increase 3.5% to 7.5% as compared to 2019. This excludes the impact of our tentative agreements with the IAM and other collective bargaining agreements that will be amendable this year. We expect IAM agreements to add another point to point-and-a-half to the year-over three-year range when ratified. We work through the new contracts and increase our operational agility through recent technology investments over the next few years; we expect these wage increases to be partially offset by increased productivity and other benefits. Let me walk you through some of the specific changes to our 2022 unit cost expectations as compared to 2019. With the assumption that the delivery dates of the first two 787s shift from the end of 2022 to the first half of 2023, we now expect a half-point headwind of incremental expense related to preparing the 787 entry into service. Delivery dates for the first two 787s are not firm and if pushed beyond the first half of 2023 we may see some of these costs shift further out of 2022. We also expect an additional half-point headwind as we reduce ASMs due to the delay in the resumption of our international service, which will result in some excess staffing from January through April. This labor will remain relatively fixed in the near-term as we stay on target for the recovery of our international network in the second half of the year. If resumption of our international service is pushed beyond May, we expect an additional cost headwind of about $2.5 million per month. The reduction in ASMs also impacts the magnitude of the headwinds and tailwinds we discussed back in December, and we now expect a net unit cost headwind of four-points from wages and benefits, depreciation and amortization, aircraft rent and rentals and landing fees, which is up half-a-point from our prior expectation. For the first quarter we expect our unit costs excluding fuel and special items to be up 10% to 13% compared to the first quarter of 2019 on a capacity to decrease of the same magnitude. The expected increases from 2019 are in line with the full year headwinds previously mentioned, but I’ll explain the sequential increase in costs from the fourth quarter of 2021 to the first quarter of 2022, as capacity is about flat quarter-over-quarter. The sequential increase in cost is primarily driven by an increase in the number of heavy maintenance events, some equipment purchases that were pushed from the fourth quarter to the first quarter, and incurrence of more project related OpEx. We expect our fuel consumption for the first quarter and full year as compared to 2019 to be down 18% to 21% and 4.5% to 8.5% respectively. And we are forecasting our fuel price per gallon for the first quarter to be $2.53; and for the full year to be $2.42. We have also revised our capital expenditure forecast for 2022 to reflect the delivery delay of our two 787s. We now expect our capital expenditures in 2020 to total $105 million to $125 million with about two-thirds for aircraft and the remaining third for non-aircraft spend. On the non-aircraft side we continue to make investments in technology that provide us with commercial flexibility or operational efficiencies. We’ll also continue to invest in our facilities to improve the experience for both our guests and our employees. Our first quarter outlook results in an expected EBITDA of negative $150 million to $90 million. While we’re disappointed that the negative headwinds of Omicron have pushed our recovery timeline back a couple of months, we believe the strengths of our team and our business model coupled with the resilience of demand for travel to Hawaii will result in success over the long-term. And with that, we can now open up the call for questions.
Operator: Thank you. At this time we will be conducting a question-and-answer session. [Operator Instructions] Our first question comes from the line of Mike Linenberg with Deutsche Bank. Please proceed with your question.
Mike Linenberg: Hey. Good afternoon, everyone. Hey Shannon, I want to go back on the costs you said because of the aircraft delays and the pushback in international, you now have a four-point headwind, and I guess what previously was it 3, 3.5 point. I just want to get some context around that?
Shannon Okinaka: Sorry, Mike. That might have been confusing. We gave a lot of numbers. So the previous guidance for the full year was to be up 2% to 6%; and now the guidance is to be up 3.5% to 7.5%. And so what you have to do basically is add the half-a-point from the reduced ASMs, from the schedule changes and the pushback of international. And then we have another half-a-point from the 787 delay, and then the four-points for all of those other things. And we had talked about the specifics of those other things in December, but now it’s primarily wages and benefits. But there are some give and takes from those other categories that result in the four-point headwind.
Mike Linenberg: Okay. So, just like hear me out here though, when I look at your previous guidance relative to capacity, and I now see you’re pulling down your capacity by about three-points, right. And I realized that it’s not totally linear from a unit cost perspective, but your unit cost pickup is a bit less. And so I actually sort of looked at that and thought, with that type of capacity pullback that wasn’t as bad of an increase that I would’ve anticipated realizing that it’s not a linear relationship. And so I – that’s why I wasn’t – I didn’t follow and maybe – maybe the way that I’m looking at it just isn’t the right way to think about it?
Shannon Okinaka: No. I think that’s exactly the right way to think about it. We are aggressive on our cost and we make adjustments to our business as things [indiscernible] changes. Yes. So I think you’re thinking about it, right, Mike.
Mike Linenberg: Okay. That’s what it looked like. It looked like you picked up maybe you saw some other areas where you could get some cost benefit you were able to sort of capture that in this number. Jumping on to my second question; this is just to Brent on the schedule. A month ago, you guys were talking about ramping up Australia and you seemed somewhat encouraged. And I did see you pull Brisbane from the schedule for the entire year, like it’s out. And I just didn’t know if either Australia wasn’t ramping up as well or it’s because of the delayed airplanes and the international route that had to get cut if you weren’t going to get the 787s would be Brisbane, maybe it was the most marginal of your international. Am I reading too much into it? Thank you.
Brent Overbeek: We had – Mike, as we have been kind of working our way through the pandemic, we were kind of looking at the pace at which international was coming back. We looked at the conditions that we thought were going to exist in the marketplace, particularly the international marketplaces that we serve. And while we certainly like flying to Brisbane, enjoy that, we were at the point where we were ready to move on. We don’t think the conditions in the short-term are going to make sense for us. And so I wouldn’t read anything in that in terms of short-term changes. Those were things that we were pondering and as we moved our way into 2022, it made sense to move forward with that.
Peter Ingram: And Mike, just to put perhaps a finer point on that, there’s – the Brisbane decision is not a reflection of any level of disappointment with how we’ve started up in Sydney. It was really something that we had been evaluating going back before we resume service to Australia.
Mike Linenberg: That’s really helpful. Thanks. Thanks, guys. Thank you.
Operator: Thank you. Our next question comes from the line of Helane Becker with Cowen. Please proceed with your question.
Helane Becker: Thank you very much operator. Hi, everybody. Thank you very much for the time. I just have a clarifying question for Shannon. When you said negative EBITDA for first quarter, you said minus $150 million, is that minus $150 million to minus $90 million or minus $150 million to positive $90 million?
Shannon Okinaka: Minus $150 million to minus $90 million, Helane. Thank you.
Helane Becker: Thank you. And then my other question is probably for Peter. There’s a – tomorrow morning, the Honolulu City Council is holding a meeting to consider Bill 41 CD1, which I guess is the bill that limits people using their houses for Airbnb. And so, are you thinking about that as impactful to your business as you think about resumption of traffic from anywhere to Hawaii or is there a shortage of hotel rooms or is there a shortage of places for people to stay or how should we think about that as impacting your business if at all?
Peter Ingram: Yes, it is something that we do think about certainly. In recent years with Airbnb and VRBO, I think, there has been increasing use of what’s referred to as vacation rentals or transient accommodations, non-hotel accommodations. A lot of visitors really enjoy the experience of having something different in hotel. And particularly I think it demand for it has increased relative to hotel stays over the course of the pandemic as many people like to have a space that is a little bit more private with just their own traveling party. It’s a subject that has created much debate in our community here in Oahu and candidly throughout the Hawaiian Islands as residents in many cases would like to see some restrictions on where these vacation rental units can be certified to operate legally and to prohibit them from other residential neighborhoods. And Bill 41 is the latest of a series of piece of legislation that we have seen throughout the counties of the state. I think it’s important that we maintain a place in the suit of options that are available for visitors, for them to take advantage of vacation rentals. We do think it is appropriate to have some restrictions on that as we go forward. And we’ll actively monitor that discussion and hope that the various state and county governments that are looking at this strike the right balance as we end up seeing this move through the legislative process.
Helane Becker: Okay. Thanks, Peter. That’s very helpful. And thanks everybody for your time.
Operator: Thank you. Our next question comes from the line of Conor Cunningham with MKM Partners. Please proceed with your question.
Conor Cunningham: Hey everyone. Thank you. Hey Brent, you mentioned flying 120% of your North America schedule and that’s going to be your high-water mark in the first quarter. I’m just trying to parse out what that is. So, what percentage of that is just domestic flights that should have been flying potentially international? And then where is that being added? Is that just a frequency thing in stronger markets? Just any help there would be great. Thank you.
Brent Overbeek : Yes. Conor, it’s really a function of 2019 and how we grew in 2019. So, a lot of our growth was in kind of 2Q, 3Q, 4Q of 2019. So, as we keep comparing back to that base year, 1Q in particular, looks a little bit odd. For example, like Boston didn’t start until the second quarter of 2019. So, it looks like growth on this relative basis. So, there is not a lot of material change in the network there. We’ve added a few select trips during the spring break, but a lot of it is really just the base of 2019 that we compare back to and 1Q being a bit different than the rest of the year.
Conor Cunningham: Okay.
Brent Overbeek : And I think another thing is – another thing if you think about sequentially kind of quarter-over-quarter, we’re pretty flat. So, from 4Q of 2021 to 1Q of 2022. So, if you really think about it, it’s really more of the base movement in 2019 than anything material that we’re doing to change things in the first quarter of 2022.
Conor Cunningham: Right. So, it’s not like you were adding flights from assets that should have been somewhere else, this is just a base.
Brent Overbeek : Yes.
Conor Cunningham: Okay, cool. And then some of the other airlines have talked about the rise of premium leisure and the potential permanence of that new customer. I think it’s kind of an interesting thing for you guys, because I am just curious if you could speak to like your premium products and how they performed through the pandemic and just your general view of this customer? I just would think that if that is a sticky person, that it would fall right into your market. So just curious if you have any thoughts on that? Thank you.
Brent Overbeek : Yes, I think, it’s a great observation, Conor. And we have certainly seen it here kind of throughout the pandemic and even into the fourth quarter our premium products are doing fantastic. I think domestically, we were PRASM-positive in the front cabin despite some of the headwinds we had in the fourth quarter. So, demand and some pricing power there continue to remain really, really strong. We’ve seen strong performance in Extra Comfort as well. And so that has done well. We’ve been able to have a little more pricing power there in terms of seeing some improvements in the average sell-up price into that product. So yes, I think, premium leisure is doing quite well, and we are really well positioned to be a winner from that in Hawaii.
Peter Ingram: I’d just add to that, Conor. I do not think that this is a phenomenon that occurred because of or coincident with the pandemic. It’s actually if you go back and look at our premium cabin trends in 2018 and 2019, typically, those were outperforming the performance in the main cabin. And some of that was because of the great efforts of Brent’s team and our commercial team more generally in terms of marketing those products better, but some of it is, I think, an evolution of the demand. And so, we’re just seeing that continue as we’ve gone through the pandemic.
Conor Cunningham: Great, appreciate. Thank you.
Operator: Thank you. Our next question comes from the line of Catherine O’Brien with Goldman Sachs. Please proceed with your question.
Catherine O’Brien: Hey, good afternoon, everyone. Thanks so much for the time. One, we’re seeing other airlines this earnings season point to worsening RASM trends versus 2019 in the first quarter versus 2019, as compared to the fourth quarter of 2021 versus 2019 if you follow me. And your guidance is also pointing to a decel in RASM performance versus 2019 as we head into the first quarter. Can you just walk us through what’s driving that? Is it the pricing environment changing? Is it just assumptions that you have to make on January and February on lingering Omicron impact? Or obviously, you’ve had to make some changes to international. The switching capacity around closer in put pressure on RASM. Just would love to hear some of the puts and takes on the pricing and how you’re thinking about demand. Thanks.
Brent Overbeek: Yes. So I think the timing of Omicron hits a decent chunk of 1Q. It’s particularly pronounced in January and February. We’re encouraged that we’ve kind of seen the bottom in terms of booking trends, but we’ve got a bit of a hole we’ve got to dig out of in terms of continuing to move in the spring break. So the timing of it, I think, has a real impact in terms of being in 1Q. And as we said in our prepared remarks, we think 1Q is the most material impact. Internationally, there’s a pretty material slowdown. We’ve seen some steady progress, while still a small portion of our network. We had seen demand in our international network continue to strengthen. And that waned obviously at the end of the fourth quarter, but going into 1Q, our expectations around passenger revenue have softened quite a bit. Still quite positive on what we’re able to generate in terms of cargo revenue. And so that will continue to support the schedule that we’ve got in place. But on the passenger revenue side, that has slowed down and certainly in some of the geographies, particularly Japan and Korea, that has been maybe a little bit more pronounced. And then finally, I think we enjoyed a couple of good holiday periods in the fourth quarter, and while not as strong as normally, we still had good results in November around Thanksgiving and the holidays and as Shannon mentioned in her prepared remarks, in terms of generating a profit in December. So without a lot of that in January and February that we’ve seen things kind of move on from there.
Catherine O’Brien: Okay. That all make sense. Maybe Omicron, not surprising, and then a little bit just fewer peak days or less ultra-peak days, how you want to think about it, that makes sense. Maybe just a medium-term question. If Japan and other parts of Asia continue with relatively much stricter COVID policies in other geographies through this year, who knows maybe even 2023. I know you don’t have a crystal ball, but are there any other long-haul international markets you would look to, to reallocate wide body capacity? Or could some of those perhaps find their way into other domestic opportunities like the one that you took in Austin over the pandemic? Thanks.
Brent Overbeek: Yes. I think it’s a little hard to say on the international side, where we’re going to be at in terms of regulations, both in Japan and other locales. I think we feel like we’ve got some other opportunities to grow in North America and other long-haul destinations, but we’re going to balance those with the available resources that we’ve got and how we manage that planning cycle will be really important as we move forward into the middle – really into the summer of 2022.
Catherine O’Brien: Got it. I could sneak one super quick one modeling question for Shannon. The 1 to 1.5 points on new labor agreements, I just want to make sure that’s only for the IAM tentative agreement, right? And then is that the 2022 impact? Okay, yes, to the TA. And then is that the 2022 impact or an annualized impact? I know it’s a small difference given it will be ratified mid-Feb, I just want to be sure. Thanks so much for all the time.
Shannon Okinaka: Yes. Thanks, Cathy. Yes, you’re right. That is just for the IAM TA. And the 1 to 1.5 refers to the 2022 versus 2019 impacts, but it is the full year impact of the TA.
Catherine O’Brien: Okay, great. Thank you.
Operator: Thank you. Our next question comes from the line of Hunter Keay with Wolfe Research. Please proceed with your question.
Noah Chase: Thank you for the time. This is actually Noah Chase on for Hunter. Peter, how do you see your network structure evolving in the case to airlines don’t actually pull the marginal capacity added in Hawaii or competing international markets as we come out of recovery? And how do you think that actually shapes your passenger revenue breakdown, the pre-COVID set roughly at a 25%, 75% split between international and domestic?
Peter Ingram: Yes. I think at this point, and I’ll let Brent chime in as well, if he wants. We are confident that we’re going to see Japan recover. And so we would expect, as we move forward into the latter part of this year, that we’re going to see a similar balance between domestic and international than we’ve had before. We did add a couple of flights domestically. So it may move a couple of percentage points, but I don’t think we’re envisioning a radical shift. And I think, frankly, over the longer-term, what is most likely to happen for our long-haul capacity serving Hawaii is that as we have evolved the network over the last decade, it’s largely going to mirror where visitors are coming from Hawaii. And so I think over time, if you saw that broader visitor mix shift one direction or the other, we would likely shift our network similarly.
Noah Chase: Got it. Thanks. That’s super helpful. And then if I could just sneak one more in. Are you seeing inflationary pressures that are more apparent in Hawaii than other parts of the U.S.? And is that impacting current hiring efforts and how you might expect it will affect pilot negotiations?
Peter Ingram: So in terms of inflationary pressures, I sort of split it into labor versus non-labor. And I would say on the non-labor side, there’s really nothing that’s particularly unique about what we’re experiencing in Hawaii. I think from an airline perspective, the part where we are seeing costs go up more is on our airport cost structure. But that, I think, is less a function of stimulus-driven inflation in the broader economy and more a function of investments that have been made in airports over the last several years. So that’s a headwind that we’ve all seen coming for some time. On the labor side, again, I don’t think it’s particularly unique to Hawaii. I think we are experiencing some tighter labor markets, particularly for job functions like the one in our airports, and cargo and maintenance organizations. And so the increases that are provided in our new IAM deal are actually welcome to improve our competitiveness in terms of attracting and retaining that part. As for your specific question about pilot negotiations, that’s an interesting one to consider, and it is colored by the fact that the negotiating picture is not just our contract becoming amendable this year, but the fact that a significantly – a significant percentage, almost all of the pilot contracts throughout the industry have either recently opened up or been opened up for some period of time. So there is a fair bit of uncertainty. And I think that is likely to shape our negotiations as we move forward over the coming months.
Noah Chase: Got it. Thanks for the time.
Operator: Thank you. Our next question comes from the line of Dan McKenzie with Seaport Global. Please proceed with your question.
Dan McKenzie: Hi, thanks. First one is just house cleaning, and I just have a couple of other questions, but on the first one. Can you remind us of the timing of when the new revenue management system is turned on, like what day? And what the benefit is that you’ve included in the first quarter revenue outlook?
Brent Overbeek: So Dan, it will turn on in the kind of the middle of the latter part of the quarter. And we have prescribed zero dollars for the first quarter, just given where we are with the booking curve and working our way through that and the implementation. We’ll be well into the booking curve. And so as we work to get value out of that, it’s going to be more in the medium term than the latter – for the summer and the latter part of the year, not in 1Q.
Dan McKenzie: I see. Okay. And then a question on pent-up demand. I guess, Brent, while I have you, I’m just wondering how spring and summer searches for travel are comparing to 2019? So not bookings, just looking at searches, are they trending above 2019? And what inflections have you seen as you kind of grind through the Omicron and what you’ve seen recently?
Brent Overbeek: Yes. I think I would characterize it as pretty flat. We’ve – certainly in the context of summer, there’s been a lot of interest out there around that. And so I’d say we’re kind of at parity with 2019. And spring break, I think we’re probably pretty close in terms of searches, where we’re probably – we are a little bit down in bookings, but that’s really just a function of the timing of when Omicron came up on us.
Dan McKenzie: Okay. And then, I guess, kind of another question, if I could just squeeze one more in. Can you remind us on the percent of scheduled seats that are from business and Extra Comfort? And where I’m going with this in the script, you mentioned optimally configured aircraft. And I think as you compete more and more with Southwest, have you looked at increasing the number of premium seats just given the success that you guys have had on the premium revenue mix? Just kind of going back to an earlier question as well.
Brent Overbeek: I don’t have the exact percentages in front of me in terms of cabin split. We can have Ashlee follow up with you on that. It is something that we periodically look at, and we look at how we’re best using our real estate on board the aircraft. As Peter had mentioned earlier, we were making strides back in 2018 and 2019 in our more premium related products. We’ll continue to look at that. Real estate investments in terms of reconfigurations for first-class cabin are pretty expensive. So the hurdle might be there. It might be a fair amount of hire to go make some changes there to existing aircraft. But certainly, as we look forward, it’s something that we’ll continue to keep a sharp eye on for existing products.
Peter Ingram: And I’d just follow on to that, but I’d underscore that the trends there are long term. And so if you actually think about how we’re laying out our 787 with the next airplane that’s entering our fleet, we have designed our cabin on that airplane with a larger premium section. And that’s certainly reflects the evolution of our thinking over time in terms of where opportunity is from a revenue-generating perspective.
Dan McKenzie: Yes. Very good. Okay. Thanks for the time you guys.
Operator: Thank you. Our next question comes from the line of Chris Stathoulopoulos with Susquehanna International Group. Please proceed with your question.
Chris Stathoulopoulos: Hey, good afternoon. Thanks for taking my questions. I just want to go back to Dan’s question here before. So he’s looking at it or he asked about searching, but if you could give a little bit more color with respect to actual bookings. I think you just said that they’re slightly down. And so for March and beyond, what are you seeing in terms of absolute bookings? And then the pace of bookings relative to 2019 or typical seasonality?
Brent Overbeek: So Chris, as we worked our way through the latter part of December and early January, we had seen things slow down to a much – to a slower pace. We’ve seen that kind of get off those bottoms, and we’re continuing to see improvements. And we anticipate going forward that as cases abate, we will continue to see a material acceleration around that.
Peter Ingram: And just to put that in context a little bit, Chris, we were – as we came through the Delta variant that had us behind in bookings. As cases started declining from that, there was an acceleration. And then subsequently, Omicron came in, we saw a slowdown again. So there is a real relationship to cases. And so it’s hard to extrapolate the trends from the last month even, because the trends from the last month may reflect two-week period to look very different from one another. And I do think we’re on the good side of the Omicron curve now, in the early days of starting to see trailing seven-day average case counts go down and that’s setting us up for a better environment going forward.
Chris Stathoulopoulos: Okay. And then for my follow-up. So Japan or any other markets in the region take longer to recover for whatever reason. How should we think about the commercial initiatives that you outlined or the impact of the initiatives that you outlined out in December, whether in terms of staging or the revenue contribution? Thanks.
Brent Overbeek: Yes. I mean I think all of those are obviously highly correlated to how we’re doing in the marketplace. So the benefit of our revenue management system goes up when demand is more in line with supply. And so there might be a slight erosion to that, but I don’t think it’s all that material.
Chris Stathoulopoulos: Okay. Thank you.
Operator: Thank you. Ladies and gentlemen, we have reached the end of the question-and-answer session. I will now turn the call over to Peter Ingram for closing remarks.
Peter Ingram: Mahalo again to everyone for joining us today. We appreciate your interest and look forward to updating you on our progress again in a few months. Aloha.
Operator: This concludes today’s conference, and you may disconnect your lines at this time. Thank you for your participation, and have a wonderful day.